Operator: Good evening, and welcome to Universal Music Group's Fourth Quarter and Fiscal Year Earnings Call for the Period Ended December 31, 2022. My name is Nadia, and I'll be your conference operator today. Your speakers for today's call will be Sir Lucian Grainge, Chairman and CEO of Universal Music Group; and Boyd Muir, Executive Vice President, CFO and President of Operations. They will be joined during Q&A by Michael Nash, UMG's Executive Vice President and Chief Digital Officer. All lines have been placed on mute to prevent any background noise. After the speakers' remarks there will be a question-and-answer session. [Operator Instructions] Please let me remind you that management's on today's call may include forward-looking statements. These statements may vary in a material way. For a discussion of some of the factors that could cause actual results to differ from expected results. Please see the Risk Factors section of UMG's 2021 annual report, which made audit website. I mean that management's commentary will also refer to non-IFRS measures on today's call. Reconciliations are available in the press release on the Investor Relations page of UMG's website. A supplemental historical revenue of that sheet is also available on the Investor Relations page of BMV's website. Thank you. Sir Lucian Grainge, you may begin your conference.
Sir Lucian Grainge: Welcome to everybody, and thank you for joining us. Today, we are reporting results for our first full year as a stand-alone public company. While a year is a very brief period in the Company's life, we are by no means a new. For decades now, UMG has been the world's leader in music. And last year was no exception. For out 2022, we continue to do what we've always done, introduced great artists and music to fans around the world and to drive the industry forward through creativity, innovation and entrepreneurship. UMG had a very good year in 2022. Across our operating companies and territories, total revenue grew 14%, adjusted EBITDA grew 12% and free cash flow grew 7%. In a few minutes, Boyd will take you through the numbers in detail. But before he does, I'd like to focus on two of the many areas in which we excelled last year, including: first, the incredible performance of our artists; and second, how the numerous ways our engagement with technology is ensuring a healthy music ecosystem. Efforts that will continue to expand for the benefit not only of UMG and our artists but for the industry and the artist community as a whole, a review of the year, truly must begin with the remarkable accomplishments of our artists and summarizes and that was achieved on the charts last year. As the IFPI announced last week, UMG had four of the top five and 15 of the top 20 global artists for the year. I think that is unbelievable. On Spotify, UMG had four of the top five artists globally with Taylor Swift, Drake, The Weeknd and BTS. And of the top 10 most streamed songs globally on Apple Music, Universal Music Publishing Group had right of interests in nine of them. In the U.S., we had four of the top five artists on Spotify, seven of the top 10 songs on YouTube and seven of the top 10 albums on Billboard as well as the number one Song of the Year, Heat Waves by Glass Animals. In Germany and Italy, we had seven of the top 10. And Angel was the top female artist in France. In the U.K., we had six of the top 10 artists, including Taylor Swift is number one. While our extraordinary level of this success has come to be seen as, I suppose, almost inevitable, trust me, it doesn't just happen. It requires the work that thousands of extremely dedicated employees who are the best at what they do and who consistently adapt to rapidly changing market conditions around the world. And our success is not limited to our roster of global artists. Our region and local language artists also top the charts country after country. In China, for example, Ethan Chan's, Below Warrior, was the song of the year with more than 7 billion streams. In the Philippines, JAK Tobudro was the number one artist on Spotify. In the U.S. to completely sold out and is now signed with the public records in the U.S. In Indonesia, UMG had the number one song for 30 weeks in 2022, 29 of which were by the Mystic artists. And we have three of the top five Latin artists in the world on Spotify with J Balvin, Daddy Yankee and Karol G. In Japan, our stellar performance over the past few years continued as 20-year-old female singer Ado was Billboard's number one artist. She also had the first Japanese song ever to rank number one on Apple Music's Top 100 Global Daily Charts, and J-Pop sensation Fujii Kaze has been exciting -- has been -- sorry, has seen exciting traction in several markets outside of Japan, including in Thailand and the U.S. So many offices around the world, both developing and established ones have contributed to UMG's success this past year, but I obviously can't name them all. But I'd be remiss not to highlight the truly breathtaking success during the fourth quarter of Taylor Swift's latest album, Midnight, which is not only the fastest-selling album of Taylor's career, but it also catapulted her to become the first artist in history to capture the entire top 10 on Billboard's Hot 100 chart in the U.S., an achievement she then went on to duplicate in Canada. In Brazil, Midnight had the biggest first base streams for album on Spotify. And in China, the album was the fastest selling ever by Western Artist. And I'll leave you with this final stat that speaks volumes about both Taylor's incredible success as well as the evolution and our own capabilities as a multi-ride partner. The number one U.S. physical retail account for Midnight is our e-commerce platform, which was responsible for more than half of the album's first week physical sales. When it comes to our next class of superstars, we partnered with many brilliant developing artists across a broad array of genres. For example, last month, 23-year-old Jatin and Samara Joy took home the Grammy for Best New Artist for her phenomenal debut album, In the Wild. In addition, British RMB Group flow in the prestigious Bricks Rising Star Award as well as Radio 1s covered it sounded 2023 title. Discovering breaking new office, and then sustaining their careers over the long run, it's critical to our business, but we also take pride in adding value to our artists at all stages of doing so through different types of partnerships. In that regard, we're especially excited to welcome TJ Callisto to UMG in a celebrated career as a multiplatinum recording artist, producer, DJ and curator. Callidus global sales well over 20 million singles, 6 million albums and has garnered over 4 billion streams. This new exclusive partnership with Vectren covers both is we are the best label venture as well as his future releases as an artist. Let me shift now for a bit to discuss the evolution of technology and some key initiatives where we're leading the industry. Innovation and advancement of technology keeps expanding music's total addressable market. Of course, I'm delighted that UMG had an impressive year in streaming. But I'm also pleased that the industry as a whole flourished. 2022 was another year of impressive growth in subscribers and we expect that expansion to continue into 2023 and well beyond. We continue to see significant growth opportunities even in the most developed music markets. And taken together, developed markets continue to provide the overwhelming majority of the global subscriber base. Outside of developed markets, subscriber numbers in Latin America, Southeast Asia and China continue to grow strongly. In 2022, the growth in the number of subscribers along with our spectacular performance, all drove UMG's recorded music subscription revenue to new heights. For the first time ever in a single quarter, our fourth quarter generated over €1 billion of recorded music subscription revenue. Excitement around artists, both new and established is critical to the growth of streaming and subscription. After all, services are able to attract and retain new subscribers in the first place because the fans passion for office and their music. In addition, our consumer research indicates that music subscriptions continue to hold up very well in a challenging economic environment. Fans recognized the enormous value of refi music subscriptions, still a relatively low-cost, high-value form of entertainment, which in turn has supported decisions made by a number of our DSP partners to raise prices recently. Ensuring that artists work is properly valued, should be a critical goal for everyone who wants to keep the industry growing. I'll have more to say about this issue at the end of my remarks. While subscription has been resilient, the out supported side of our digital business has been a little less so. Macroeconomic headwinds resulting in declines in our partners' ad revenue that put some pressure on our results, but we expect this to be relatively short-lived. We believe the ad support in music services are still in the early stages of monetizing consumer engagement and that our outlook here will improve as the ad market returns to growth. Online social and video sectors continue to experience migration of ad spending from traditional media, and we continue to enhance our partnerships in the ad-funded sector. As you know, our ability to embrace new technology well before COVID has been critical to our success. And the expertise of experience we can draw on to employ the latest advances have allowed us to stay in the forefront of developing new business models, giving us the opportunity to further diversify our revenue streams. This, in turn, creates new ways for our office to engage with and broaden and further monetize their fan base item. For example, we're continuing to harness mass audience engagement with several partners in the gaming and Metaverse segment. With Elton John, Polygram Entertainment and Roblox, we launched Beyond the Yellow Brick Road, a virtual experience developed with more than 20 robots community grades. Beyond the Yellow Brick Road provides a unique vehicle for experiencing inherent impact on popular culture by allowing fans to enjoy timeless music and express themselves through this iconic fashion in new creative ways. Another example of Elton's innovative use of technology to reach a new generation of fans took place just a few months ago. In November, Elton John Live, Farewell from Dodger Stadium, the final North American Beyond the Yellow Brick Road tour with the first ever global live stream on Disney+. Since last May, we've also been putting new technology to work to reinvigorate and broaden Abba's fan base to have a ABBA Voyage in which digital advertisers of the band perform a 90-minute concept created from motion capture. A proven hit in London with both critics and fans, the show has now already sold over 1 million tickets, has been extended to November this year, and plans are now in development to take ABBA Voyage around the world. Technology is also transforming the value of our iconic back catalog. Producing Giles Martin use a remarkable AI-powered audio source separation process to remix The Beatles, Revolver. This new technology originally developed by Director Peter Jackson's team for the Get Back Beatles documentary and later used by Paul McCartney to perform a duet with John Lennon at the Bri festival allows us to take out originally recorded in mono decades ago and create spatial audio remixes. This type of technological wizardry gives our team the ability not only to drive a resurgence of our vast and varied capital but also to maximize the value of the capital we may acquire in the future, which brings me to the next important topic I want to address, acquisitions of catalogs and the difference between the active management of the catalog and acquiring artists rights. The difference has profound implications for the determination and our ability to value a catalog. There are many who claim they actively manage rights, but they do not. Why, the lack of infrastructure, their lack of experience and expertise and even more critical in many cases, their inability to acquire all the rights necessary to actively manage anything. As a result, they wind up as passive participants who do nothing and therefore, cannot exploit the full potential of the fractional rights that they do it. UMG, on the other hand, is not in the passive rights business. We are extremely selective in right acquisitions. Given our position in the industry, we see, I suppose, almost everything. We pass on most of it. We have a brilliant core business with an abundance of high-return internal investment opportunities. A potential acquisition must therefore meet a very high threshold in order for us to decide to invest, is an opportunity to meaningfully increase the value of the rights being offered for sale does not exist, very happy to sit it out. An important key to our success has been our ability to control our destiny. As we have an increasing breadth of opportunities to consider, we continue to use our cash widely focusing only on the greatest opportunities available to profitably accelerate our growth. We will walk you through our rigorous financial process around these investment decisions shortly. I'll close with some comments on an issue I mentioned earlier. Streaming has evolved in a way that undervalues the critical contributions of many artists as well as the engagement of many fans. As the Company that played a central role in the advent stream over a decade ago, we are hard at work with our partners developing guiding principles and forming new model components to ensure continued growth for streaming that will value the contribution of both artists and underlying. We at UMG call this the office-centric approach because it recognizes the basic unarguable truth that is the artist center of everything in the music ecosystem. The approach is also a win-win for fans and perform too. Artists are rewarded for the fans they bring in and the engagement they drive. Fans are offered more ways to engage. Platforms continue to gain and retain subscribers. And by creating deeper engagement with fans, platforms develop additional opportunities to drive revenue. This I first articulated my views on the need for an evolution in streaming, many platforms have expressed interest in working with us. In fact, work has already begun with some of our partners. We announced our collaboration with Title in January, and I'm pleased to tell you that we have been working with these as well and discussions with several of the other major global platforms were also underway. The artist-centric approach is not limited solely to streaming platforms but to all platforms, including short-form video, which are reliant on artists and their music. Our goal is always -- is to promote a healthier, sustainable, exciting, and yes, more competitive music ecosystem, an environment in which great music is not drowned out by an ocean of noise. Where music is easily and clearly accessible for fans to discover and enjoy. And most importantly, an environment in which the creators of all music content whether in the form of audio or short-form video are fairly compensated and therefore, thrive for decades to come. And the evolution of this scope significance won't happen overnight, and there's no silver bullet to resolve a set of issues that are this complex. As I said, this will take time in collaboration. But as we have demonstrated, we're not in this for weeks and months, we're in two years and decades, and we're confident in our ability to drive long-term growth and create value for music fans, the artists they love as well as our platform partners. I think you'll see why we're so encouraged by the progress and success that we've had in 2022 and are looking forward towards what's sure to be a busy, complex and inspiring 2023 for all of us and the industry. Thank you. I'll now turn it over to Boyd to walk you through our financial results. And on that, Boyd, over to you.
Boyd Muir: Thank you, Lucian. As you've already heard from Lucian, 2022 has been another successful year for UMG. This is particularly noteworthy against the backdrop of what's been happening in the world, COVID, inflation and economic headwinds. And throughout, we've stayed the course, delivering four quarters of meaningful growth and continuing to drive exceptional commercial performance for our artists and songwriters. Let me start by summarizing our financial performance for the full year, which we continue to emphasize is the best way to analyze our results. For 2022, revenue grew 14% and adjusted EBITDA grew 12% in constant currency. This resulted in an adjusted EBITDA margin of 20.6% slightly below last year due primarily to revenue mixes with unusually strong growth in merchandising as curing once again resumed. We also saw very strong growth in our Music Publishing business, where EBITDA margins are slightly lower those in recorded music. The growth in touring merchandise and music publishing along with several previously disclosed one-time items detailed in our press release, accounted for the entirety of the margin decline. You'll see when we walk through each business, our recorded music and merchandising margins were up for the year and music publishing margins, excluding the accounting change, were basically flat. I'm also pleased to note that free cash flow grew 17%, largely as a result of the growth in adjusted EBITDA as well as lower spend on net advances and catalog acquisitions. To put the year into context for you, we've shown a trajectory of being able to consistently grow revenue and adjusted EBITDA. But not only that, margins have expanded 2.8 percentage points since 2019. In the fourth quarter, revenue grew by 9% and adjusted EBITDA grew by 16% in constant currency. These results drove more than a point of expansion in adjusted EBITDA margin to 21.1%. Even with the solid fourth quarter margin, we continue to encourage you to view the business over a longer time horizon, as there's always going to be variability quarter-to-quarter. I want to take a moment to discuss the difference between EBITDA and adjusted EBITDA, which became more pronounced in the fourth quarter. We had €91 million in noncash share-based compensation for the quarter and €107 million for the year. As we began rolling out the equity plan that we've been planning for since our listing. We have balanced this non-cash share-based compensation to our various business segments. So in 2022, we are reporting adjusted EBITDA by segment for the first time. Let me discuss the equity plan in a bit more detail. The rollout of an equity plan follows our intention to do so since the time of our listing. Having received -- if you recall, we actually received the necessary shareholder approval at our last AGM. As you have seen, our business is very strong today, and we continue to believe in not only the growth of the industry, but in our role in leading that growth. To retain and recruit the best talent against that backdrop we have contemplated since before our listing an equity plan that will better align the interest of our management with those of our shareholders. The equity plan reduces cash compensation costs by replacing a portion of current cash compensation with noncash share-based compensation. This will be in the form of restricted stock and performance-based stock tied to ambitious multiyear targets for revenue growth and adjusted EBITDA growth as well as TSR, total shareholder return. Further, the successful implementation of the new equity fund has enabled us to secure our industry-leading executive talent in a highly competitive and growing market for many years to come while shifting much of their total compensation to long-term value creation. While a normalized run rate for the plan will see us replacing about €100 million of cash compensation with about €200 million of equity compensation annually. 2023 and 2024 will have some additional one-time expenses relating to: firstly, timing of the accounting recognitions of the plan; and secondly, one-time transition grants awarded to incentivize people to move to share-based compensation. These one-time transition grants are really part of us becoming a public company, and we always intended to implement an equity plan as part of the listing, but it took time to post-listing to get shareholder approval and then to implement the plan. In 2023, we expect €630 million of share-based compensation expense, of which €442 million is one-time or timing related, and we expect in 2023, €60 million to €80 million in cash savings as we continue to move people into the plan to achieve our run rate goal. Overall, with a maximum of 5% division over five years, the amount of these awards sits comfortably within the normal range of stock-based compensation for peer companies with which we compete for talent. Let me be clear, the cash compensation savings associated with the equity plan are not the driver of the margin expansion contemplated in our midterm guidance. We continue to expect operating leverage to drive margin improvements in our business both in 2023 and over the midterm. In 2023, our adjusted EBITDA margin will benefit from both the cash compensation savings and also operating leverage. And therefore, we expect margin expansion to be greater than one percentage point for the year when compared to the 20.6% margin in 2022. Now let me turn back to the results from each of our business segments. Recorded Music revenue grew 5% for the quarter and 8.8% for the year. This revenue growth drove recorded music adjusted EBITDA, up 10% for the year and adjusted EBITDA margin expanded to 23.9% in 2022. Looking further record to music revenue. Subscription revenue saw double-digit growth, up 11% for the quarter and 10% for the year. Starting in the first quarter of 2023, we will see the benefit of price increases at both Apple and Amazon, which combined with continued strength in. Continued strength in subscriber growth should continue the healthy double-digit subscription revenue trajectory. We're happy to see our DSP partners more fully recognizing the value of music subscriptions to the benefit of the DSP partners themselves, content owners and artists liable. In streaming, the first half and the second half of the year told two different stories with revenue up 9% for the year. While the first half exhibited the strong double-digit growth dynamics, we see ahead for base revenue, the second half reflected the backdrop of a difficult advertising market. As a result, fourth quarter streaming revenue growth slowed to 2% in constant currency. While we aren't going to predict the duration of the difficult economic environment for advertising, we see strong streaming revenue growth for UMG on the other side of this as we are still in the early stages of monetization and social media and other newer use cases for music. Physical revenue grew 3% in the fourth quarter and 4% for the year, with growth driven by final sales across the U.S. and Europe and strong CD sales in Japan. The physical growth came against a particularly difficult prior year comp and reflects the desire of super fans to own premium products from their favorite artists. For the year, growth is well distributed globally with the strongest growth in Latin America and double-digit growth in Asia as well. As you can see, major sellers included a mix of newer and also more established partners. Now turning to Music Publishing, where the revenue grew 22% in constant currency for the quarter despite the €9 million negative impact from our previously disclosed change in society accounting. For the year, publishing revenue grew 26% in constant currency or 18% excluding the pro. As a reminder, we booked a catch-up accrual of around €100 million in Q2, which related to 2020 and 2021. Only this portion of the 2022 growth is one-time in nature, and it will create an unusual comparison in the second quarter of this year 2023. Publishing revenue for the year benefited from continued organic growth in subscription and streaming revenue and post-COVID recovery and synchronization and performance revenue. Music Publishing adjusted EBITDA grew 25% for the year or 18% excluding the accrual. Also excluding the accrual, Music Publishing adjusted EBITDA margin was 23% in line with the margin in 2021. Our very strong performance in Music Publishing continues to be driven by positive industry trends, but also by outperformance of our own business. We believe that we have been gaining market share in Music Publishing over the past few years and then again in 2022. This organic outperformance is further enhanced by recent acquisitions, which make up a small portion of the growth in which I will discuss in more detail later. Turning now to Merchandising. Merchandising revenue grew 14.6% in the quarter and 54% for the year. The year reflects outsized growth from the recovery of touring merch sales following the COVID shutdown. Adjusted EBITDA grew 112% for the year, while the margin expanded 1.4 percentage points to 5.8%. As we continue to focus on expanding our direct-to-consumer initiatives and growing our digital goods business, we will look to improve the margin profile of our merch business. It remains strategically important for us to be in this business as it connects artist with their fans, and it is this connectivity that we're looking forward to increasing in the coming years. Our net cash provided by operating activities before income taxes paid for 2022 was just under €2 billion, up 42% year-over-year. This included net royalty advanced payments of €148 million, down from €364 million in 2021 due to lower gross spend, timing of artist deals and higher recruitment. Additionally, we spent €359 million of cat log acquisitions, down from €388 million in 2021. The most significant deal this year by far was our previously announced first half acquisition of the songwriting of Sting and there were no acquisitions of scale in the second half of 2022 as we continue to be, as Lucid and incredibly selective in the assets we look at and ultimately that we buy. This leaves us with a very strong 70% growth in free cash flow to just under €1.1 billion. Our dividend policy stipulates that we pay a dividend of 50% of net income. As such, our dividend proposal for 2022 was €926 million or €0.51 per share based on a final dividend proposal of €491 million or €0.27 per share. The organic growth profile and strong cash generation in our business has allowed us to maintain a very healthy balance sheet with low debt and significant flexibility. Our net debt declined to €1.8 billion at the end of 2022, leaving us with a leverage ratio below 1x adjusted EBITDA. Our capital allocation priority remains reinvestment in the business, both through signing and developing artists around the world and where appropriate through strategic M&A opportunity -- strategic M&A opportunities, including selective cap log acquisitions. Since our listing less than 1.5 years ago, we have returned €1.3 billion of capital to shareholders through dividends. Given the importance we place on continued investment in our business, it's important for me to explain to you how we think about some of these investment opportunities. As I mentioned a moment ago, total content investment declined materially in 2022. Our royalty advances benefited from lower gross spend due to the timing of large artist deals as well as higher recruitment. This spend, which includes siding, retaining and broadening rights for the diversified portfolio of incredible artists is at the heart of what we do and is a key driver of our long-term growth. This is different from catalog acquisitions, which we view as more M&A life. The investments we make are highly selective and opportunistic. They are not required to drive the growth we are seeing in our business. But in certain cases, after careful analysis, we have found opportunities to acquire control of assets that we can derive incremental value from. These are low-risk investments that initially carry returns just slightly above our cost of capital average, but from which we expect to drive upside with our expertise, increasing the monetization from our broader relationships with some of these specific artists, but also from the network effect of having these rights at UMG. So let me take a step back and tell you a bit more about what we've done in this area over the last few years. Our business is highly cash generative and increasingly so, as streaming has elongated the monetization of music a man the nature of our cash generation highly recurring. This growth has been overwhelmingly organic with rights acquisitions accounting for only about 10% of our EBITDA growth over the last three years. The reason it is a relatively small proportion of our EBITDA is that we are extremely selective in the rights we actually want to acquire. I want to reiterate what Sir Lucian said earlier that not all capital logo rights are created equal. We have visibility to the financials of almost every deal that transacts in the market, and there are massive differences in the ongoing cash flows of passive partial rights and those active comprehensive rights that we seek to purchase. As Lucian discussed earlier, our catalog acquisition strategy involves iconic generational artists where we have purchased a full suite of rights in either recorded music publishing or often both. Again, the key here is control and active rights. The ability to use our incredible infrastructure and know-how to do more with the rights we acquire. We see everything and pass on most. We understand what is worth considering from a strategic perspective and then what is worth buying from a financial perspective. This allows us to only buy where we can utilize our creative expertise and deep industry relationships to add value to those rights, driving long-term value creation for both our business and our shareholders. We take this very seriously and have a highly disciplined approach. We bring a high degree of analytical rigor to our catalog investment decisions. This includes leveraging a proprietary automat model of music industry drivers informed by our own internal data from what we see on all the platforms and on the ground expertise in every geography around the world. This model is continuously refreshed to make sure we are incorporating the latest market data we see in timing as through leading researchers. Then we layer in where UMG can uniquely add value to these rights. And then we run advanced analytics to understand the likely distribution of outcomes for the outlets. And from that, only the base assets are selected for acquisitions. We believe our catalog acquisition strategy has created real volume. In total, we have spent €1.6 billion to acquire rights since 2019. This has represented anywhere between 18% and 82% of our annual net cash from operations. In total, we paid a weighted average multiple of 16.2x prior year EBITDA for those rights. We believe we are buying the best drive at a multiple that is around the industry average for all rights. As we've noted before, these rights don't all transfer immediately, which is why our current EBITDA from these acquisitions is still below the run rate. Additionally, some of these deals have created opportunities with certain of these artists and other aspects of their business. When we account for some of the immediate value we bring to this catalog, along with some unlocked-up side, we see the average multiple is less than 13x our purchase price. We hope that this helps explain our strategy behind rights acquisitions. They are an important although relatively small proportion of our total business today, but we will continue to be opportunistic to add to a roster of iconic artists in a financially disciplined way. Thank you. And with that, Lucian, Michael and I will now take your questions. Operator, could you open the line please for Q&A?
Operator: [Operator Instructions] And our first question today goes to Omar Sheikh of Morgan Stanley. Omar, please go ahead. Your line is open.
Omar Sheikh: I've got three questions, if I could. Maybe first one for Lucian starting on the issue dilution and the shift that you talked about to the artist-centric approach for allocation payments from DSP. What support do you think you have from the rest of the industry at this point? I know you talked about some relationships or discussions you've established with Title and Decca and some other global DSPs. Could you maybe talk about what those the early learnings from those conversations are? And how much support you think you might have for the solutions that you have in your mind? That's the first question. Secondly, for Boyd maybe on content investment. Very useful to get that color on your strategy in relation to catalogs, but just given maybe on the advances side of the content investment, the numbers obviously halved year-on-year in '22 versus '21. Is that the new normal? Is that the new level of advances spend that you're anticipating going forward? Or do you see perhaps that there's -- there were some one-offs in '22 that perhaps might not be repeated in '23 and going forward? That's the second question. And then finally, for Michael, we haven't heard much about conversations with TikTok. I think you talked about this last year a few times. Are you still in conversations? What's the status of those discussions?
Sir Lucian Grainge: Okay. In terms of artist-centric, it's too early to share the insights, but I anticipate that we'll be soon. As I said in my remarks, it's important to understand that there's still a bullet in this, no one size fits all, and it is very complex. Every platform at the moment is different ways of measuring engagement and their understanding of what makes fans subscribes and what keeps them there. So, it's going to be a process of refining the existing model on a platform specific basis to better reflect audiences -- their audience, their consumers, et cetera. That's going to require collaboration with all the players in the music community. Every single evolution in the industry requires partnership and an artist-centric model will be no different. And we -- there's an enormous amount of work going on, on the stages when it's behind the scenes. I'm confident that it will be done. It is in everyone's interest on, I believe, to move away from a model that over time is creative, probably some bad incentives. We're a media company. We spent some music and artists and I've spent my career focusing on quality and artistry, not white noise or one second cops, turn to the false to someone cruising. And I've said this many times, as you probably know, recording rain falling on a pane of glass to help us to go to sleep is not global artistry and global brands. And I do not believe is really going to drive the healthy ecosystem but has been driven and that we have now. But music is important, I believe that in an environment where all artists have a shot. I suppose, regardless of whether or not they're in an indie label or a major label or a DIY office. I've been around music for my life, and I will continue to be. The fact that the response from all of the platforms, and I mean all of them has been positive is an indication but based on some of the issues that we do but more importantly that they see the opportunity in developing an updated approach. So, as I said a moment ago, it's too early to share the insights, but I think that we're on a just and a good journey.
Boyd Muir: And maybe before, Michael, I can pick up on the question about content investment. I think the way to look at this is when you look at 2021, that the level of net content spend in 2021 was elevated. In that year, we did a number of -- we did a number of deals with superstar artists where we not only did we get commitments to multiple new products on the recorded music side going forward. But we actually broaden our relationship with those artists and to other areas, be it music publishing or be it merchandise or via settlement TV. So we've got a broadening of rights -- so that -- so '21 was highly elevated or highly elevated. It's really worth pointing out the recruitment against those. So these advances -- the money does come back in a growth -- the growth prospects we see. We're investing into that growth. So the measure for us in terms of how the performance is that we're actually seeing an increase in the amount of recruitment that's coming against those advances, which is the fact that this is increasing is a very healthy metric for our business.
Michael Nash: And then, Omar, with respect to the question on TikTok and stats of conversations, of course, it wouldn't be appropriate for us to comment on our negotiations with any specific partner. It's fair to assume that we're always engaged in strategic discussions with all of our key partners, of course. And as we've stated over and over again, we're always looking to ensure that our artists are fairly compensated for the value of driving on these platforms. We know that value is very significant. As Lucian mentioned and has, I think, addressed in detail before. We've looked at value gap challenges at earlier points in the development of streaming, social video, specifically, we successfully engineered win-win partnerships platform like YouTube. They were the focus of value gap concerns in the previous decade. They've now become excellent partners with the stated ambition of being the leader and use of monetization by the middle of the decade. We at the new value gap issues the short-form video can also be constructively addressed through the development of win-win partnerships.
Operator: [Operator Instructions] Our next question goes to Adrien de Saint Hilaire of Bank of America Merrill Lynch. Adrien, please go ahead. Your line is open.
Adrien de Saint Hilaire: Taking these questions. So I've got two of them, please, if you can hear me okay. So first of all, from your first trials with some of the platforms like Title, for example, what's been the typical uplift in revenue between the old and the new model? And then secondly, thanks for all the details you've provided around share-based compensation. I'm not quite sure I understood why the step-up or why there would be so much of a one-off in '23, if you just don't mind clarifying again what goes in there? And what should be the number of those sort of one-time share base comp again in '24?
Michael Nash: Adrien, thank you for your questions. Let me tackle the one in terms of the status of the age of the Title. We're very happy about the announced partnership with the Title. We're just really kind of weeks past the point where we made that announcement. We have a strong set of shared principles, as Lucian articulated in his remarks earlier on this call. But it's too early to talk about the identification of specific components of the test and specific components and what that means with respect to the economic model of the platforms. Early days, this is a project it's not weeks and months, but years we're focused on the long-term benefit of the ecosystem here and working with multiple partners, and we'll provide updates as we get further into this initiative for those partners.
Adrien de Saint Hilaire: And with regard to the share-based compensation, not going into the detail here, but the accounting for share-based compensation is basically driven by accounting standard IFRS 2, and it's a conservative accounting standard that really determines that the cost of the share-based compensation is very much front-loaded. So you kind of in essence you see here that we're taking that vast majority is almost 90% of the upfront one-time costs in 2023. In 2024, there will be a good working assumption is approximately $50 million of further one-time costs. And then we will be settling into the run rate, which I mentioned of approximately €200 million a year, driving approximately $100 million of savings and cash-based compensation.
Sir Lucian Grainge: I think I should know it was an extremely unusual situation. I suppose in the traditional IPO, there would have been an equity plan in place, price of the listing. In our case, because there wasn't one, the plan needed to be developed after the fact. And obviously, it was critical that aligns the interests of our shareholders with our employees. We're thrilled to say that we've secured 100 the most successful executives in the industry into UMG, which is probably the most -- one of the most competitive markets is how this industry is at the same and the I. The fact that we've achieved this and we were able to convince the teams and all the senior executives to give us a significant portion of guaranteeing cash compensation, we substituted the performance-based compensation I believe, we feel is a validation not only of the strong culture that we've built, but also we believe our team and these people have in their ability to achieve the ambitious long-term growth targets that we set for them -- we've set for ourselves.
Operator: Thank you. Our next question goes to Lisa Yang of Goldman Sachs. Lisa, please go ahead. Your line is open.
Lisa Yang: Firstly, I want to come back to your comments right around this double-digit growth in subscription streaming being stable going forward. Do you see that as being applicable to 2023 as well? Doesn't include any assumptions of sort of further price increases beyond the ones announced recently by Apple, Amazon or YouTube? And if you could comment as well on the recent trends you're seeing in advertising for the streaming, that will be very helpful. And the second question is on publishing. I mean there was outstanding performance last year, and I think it's been the case for a couple of years. I'm just wondering why is it growing so much for us than I recall it music. And do you think that sort of mid- to high teens growth rate is sort of stable for the coming few years, especially with the growing contribution from catalogs that you just went through earlier?
Sir Lucian Grainge: Yes, we do expect double-digit growth in subscription for 2023. I think as was mentioned before, there's two aspects to that. Since the continued growth in the subscriber base with broader adoption of this means of consumption, and then added to that, we clearly have got price increases that have been announced by both Apple and by Amazon. And then maybe switching a little bit lumpy over to the publishing side, two parts there, our publishing company is performing incredibly well. We believe that we -- and we see that they're gaining market share predominantly organically by the way. If you look at the totality of the incremental EBITDA coming in from acquiring catalogs, it really is, it's not that significant in context of the totality of the business. So they're performing very, very strongly. The exceptional growth in digital is clearly higher in publishing and in recorded music. And there's a number of factors in there. There's an element of catch-up delay in some of the publishing revenues. So you're actually seeing a benefit of a number of deals coming through in our publishing company that has see them monetizing the songs that they administer. And I know the revenue generation is incredibly encouraging on this. Again, it's a similar story on these new services on the social platforms as well as the growth subscription. So it's again is multi faster than in there, which always gives us great encouragement to see the revenue increases coming from a large number of different sources.
Michael Nash: Sees the quality of our rights, the array of genres, their geographic strength, and just the breadth and the scale of everything that we do and everything that we have is everywhere. That's where we've been investing and are investing into the growth that we believe.
Operator: Thank you. The next question goes to Julien Roch of Barclays. Julien, please go ahead. Your line is open.
Julien Roch: Yes. The first one is on catalog acquisition. Thank you very much for those couple of slides and providing far more transparency 94 million of EBITDA contribution, if you take the three years you've bought catalog, but we get the revenue contribution as well, please? I know it's lower as you put some artists that you were already managing, but just to get a sense of much catalog added to your revenue growth? That's my first question. And then the second one, coming back on a question from Omar, Boyd, you said that the 4.3% as a percentage of revenue of net advances. So advanced less recruitment in full year '21 was an elevated number because you had signed major artists. It fell to a very low 1.4% in full year '22. So if you had to venture guess as a percentage of revenue at the right level going forward, excluding signing superstars, which I realize you cannot forecast, but are we talking 2% of revenue, 3% of revenue? Any color there would be great.
Sir Lucian Grainge: Dan, I think you answered your own question there on the second part, which is not -- we're not in a position to be able to predict what the as to what is going to happen. I would just encourage you -- I was trying to say earlier, I think you should be considering two aspects. You should be considering, yes, in part the growth should also be taking into -- taking that into context with regard to the recruitment and the growth and recruitment. If you think about the totality of this, this is basically the core of what we do. This is the investment that we make into all of our artists and songwriters globally in all of the geographies. And really for us, with growth ahead of us is very, very important that we continue to invest into those areas where we see -- where we see growth. So for the way that I look at this, this is really at the core of all that we do and is perhaps the most significant aspect of investment. The M&A, which I was trying to say earlier, the M&A is kind of opportunistic, and we'll look and we will do those as and when appropriate, given the criteria that I mentioned. But at the heart of all that we do is in that line net content investment, which is partly the gross advances that we pay out and then it's the net of the recruitment that we made.
Operator: Thank you. And the final question goes to Richard Eary of UBS. Richard, please go ahead. Your line is open.
Richard Eary: Yes. Just two questions. The first thing, just looking at the size of the opportunity. I know it's still early days about essentially the artist-centric model. But if you look at that relative to the potential with DSP price increases over the medium term, what do you think is the largest opportunity for UMG and the industry? That's the first question. And then the second thing is that if you actually look at catalog collection and uncollected royalties within the Publishing business, can you just talk about developments within that space? And what could happen over the medium term to improve collections and ways to improve it?
Michael Nash: Richard, thank you for your questions. In terms of scoping the size of the opportunity for artist-centric and for price increases, we look at a number of different opportunities in terms of the evolution of the Subscription business, including the growth trends that we referenced in terms of the scale of growth that we're reporting, what we see in terms of the total addressable market expansion. And we're very encouraged by our consumer research to suggest that there's more than 100 million subscriptions that we could potentially garner in the consideration set in 13 major markets. So the fundamentals are very strong. And then in terms of the incremental with respect to price increases. We are early days, a couple of major platform announcements. I think we're just at the point now where we're starting to look at prospects for price optimization with a very, very compelling value proposition of subscription streaming. And in terms of artist-centric, we referred to the early status of engagement there. And so it would be premature to scope that relative to price increases. One thing that I want to underscore is that we believe with artist-centricity on the platforms, we're also going to be able to bring opportunities to do a better job of monetizing these high integrity, high intent artists and relationships. That will come with super fan monetization, and we've been speaking with platforms in terms of the evolution of the model also about the enhancement of offers to the consumer that reflect the engagement with artists that are really driving the economic model of the platforms. So we would point to a wide range of different opportunities we're seeing in terms of subscription growth, and it's too early for us to try to scope the relative contributions in the future that we might expect from price increases or from the artist-centric models development.
Boyd Muir: And Richard, on your other question, I'm not sure I fully understood it, but let me try and answer it in two different ways. If your question was about us not collecting the royalties on the M&A activities for the EBITDA is lower today than in the future. And if that is what your question pointed to often rights don't -- in terms of these acquisitions, often rights don't actually end with the previous owner until some point in the future. So the timing is more about the timing of those rights reverting to us as opposed to just not collecting royalties. And I think what we do say is that if there's a broader question on us to not being able to collect royalties, what I would say is that we actually pride ourselves on a published company price itself of having the best-in-class administration system. And we often see when we take over catalogs. We often see that we are able to increase the monetization by just having the best class comprehensive administration systems.
Operator: That's all the questions we have time for today. This now concludes today's call. Thank you all for joining. You may now disconnect your lines.